Operator: Good day, ladies and gentlemen, and welcome to the Third Quarter Fiscal Year 2018 Cavco Industries Incorporated Earnings Call Webcast. At this time, all participants are in a listen only mode. Later, we will conduct a question-and-answers session and instructions will follow at that time. [Operator Instructions] As a reminder, this conference call is being recorded. I would now like to introduce your host for today’s conference, Mr. Joe Stegmayer, Chairman and CEO. Mr. Stegmayer, you may begin.
Joseph Stegmayer: Thank you, and welcome, everyone, to our third quarter conference call. We’ll begin with our Executive Vice President, Dan Urness, providing the financial report, and then we’ll be happy to take any of your questions. Dan?
Daniel Urness: Hello, everyone. Before we begin, we respectfully remind you that certain statements made on this call, either in our remarks or in our responses to questions, may not be historical in nature and therefore are considered forward-looking. All statements in comments today are made within the context of safe harbor rules. All forward-looking statements are subject to risks and uncertainties, many of which are beyond our control. Our actual results or performance may differ materially from anticipated results or performance. Cavco disclaims any obligation to update any forward-looking statements made on this call, and investors should not place reliance on any of them. More complete information on this subject is included as part of our earnings release filed yesterday and is available on our website and from other sources. Now for our financial results. Net revenue for the third fiscal quarter was $221 million, up 9%, compared to $202 million during the third quarter of fiscal year 2017. Breaking this increase down by business segment, factory-built housing net revenue increased $18.6 million from improved home sales volume, including incremental sales from our new Lexington Homes factory in Mississippi, and a larger proportion of higher-priced homes. Financial Services segment net revenue increased 3% from higher home loan sales volume and more insurance policies in force compared to the prior year. Consolidated gross profit in the third fiscal quarter as a percentage of net revenue was 22.5%, up from 21.5% in the same period last year. The improvement was the result of a $3.4 million favorable dispute settlement resolution this quarter. The constrained labor market and rising material prices continued to be key challenges to gross margin growth. We have implemented higher product prices to offset rising input costs, although large order backlogs deferred full realization of the benefits. Selling, general and administrative expenses in the fiscal 2018 third quarter as a percentage of net revenue was a 11.8%, compared to 12.9% during the same quarter last year. The improvement was related to fixed cost efficiencies gained from higher net revenue levels and effective cost controls. Income tax expense benefited from the U.S. government’s December enactment of comprehensive tax legislation. The company recorded a net income tax benefit of $5.6 million this quarter, the result of a lower federal income tax liability and revaluation of net deferred income taxes. This resulted in a transitional effective income tax rate this quarter of only 9.5% in order to adjust to full fiscal year lower income tax obligations. The final fiscal quarter that ends this coming March is expected to have an estimated tax rate of approximately 30%, which reflects the blend – the blended rates before and after the new tax law, which span our fiscal year. Lastly, fiscal year 2019 should benefit fully from lower income tax rates and reflect an estimated effective tax rate in the low 20s. Net income for the third quarter of fiscal 2018 was $21.4 million compared to net income of $12.3 million reported in the same quarter of the prior year. Net income per diluted share this quarter was $2.33 versus $1.35 in last year’s third quarter. Comparing the December 30, 2017 balance sheet to April 1, 2017, Lexington Homes balances are only included in the current consolidated balance sheet, as the acquisition occurred at the beginning of this fiscal year. Our cash balance was approximately $139 million, compared to $133 million nine months earlier. The increase was mainly from net income and cash net – net cash provided by operating activities. Accounts receivable increased primarily from higher sales during the period. Inventories increased for more homes in the final stages of sales at the end of the quarter. Inventory is also higher from stocking additional raw materials to feed increased home production rates. Accrued liabilities increased from customer deposits and higher volume rebate accruals incident to home sales growth, partially offset by decreases in salary and wage accruals at the end of the quarter. Lastly, stockholders’ equity grew to approximately $436 million as of December 30, 2017, up approximately $42 million from the April 1, 2017 balance. Joe, that completes the financial report.
Joseph Stegmayer: Thank you, Dan. I’d like to make few general comments. The U.S. homeownership rate rose in 2017 for the first time in 13 years. Reports indicate that young buyers drove this. The increase last year is particularly notable, because it comes after the Federal government restrained previous policies and encouraged banks to ease lending standards to boost homeownership. On prior conference calls and other public comments, Cavco has taken exception with a certain school of thought that younger people would continue to rent rather than buy their homes. Now what appears to be driving the market is a move to own rather than rent coming from the largest home-buying generation since the baby boomers, millennials. The homeownership rate among households headed by someone under the age of 35% rose to 36% in the fourth quarter of calendar 2017 from a 34.7% rate a year earlier, the largest increase of any age group during that quarter. The homeownership rate bottomed out at 62.9% in early 2016, which was a 50-year low. According to the U.S. Census Bureau, in the fourth quarter of calendar 2017, homeownership rose to 64.2%. In addition, these figures have been climbing since the first quarter of last year, indicating a reliable upward trend. The homeownership rate is still below the long-term average of approximately 65%. Some reports suggest that homeownership rates will take years to fully recover, as home price are growing faster than wages and inflation. The S&P CoreLogic Case-Shiller National Home Price Index report the single-family home prices rose 6.2% in the 12 months ended November 2017, about three times the rate of inflation. This trend and other factors, such as potentially rising mortgage rates and tax code changes that offer pure incentives for homeownership might suggest headwinds for new home sales. We believe, however, that in such an economic environment, the value and affordability of Cavco’s factory-constructed homes actually becomes more apparent to buyers. Certainly, we’re not immune to adverse factors. Our company must face the challenges of inflation and materials and wages and even the availability of qualified people to build our homes, the same as onsite construction builders must face. The difference is that, our systems process of building homes is a very efficient method of construction. Far less waste of materials and much more effective use of labor results in our ability to offer new homes at very competitive prices. Furthermore, we can reach affordable price points that are generally not of interest to onsite builders. We’re not suggesting that factory-built homes get all market needs. But national home prices reached a record in September 2016 and with their prospect of continued price escalation in 2018, we think there should be steady demand for affordable housing. We have robust employment; two large and growing demographic segments, the millennials and baby boomers, from which many of our buyers typically come; tax changes that could help our buyers save for down payment and qualify for a loan; and indications of improving economy. With a positive economic environment and for the reasons, among others, that I’ve just suggested, we feel we can meet the challenges lie ahead and generate attractive long-term growth. There’s lots of work to do, but we have the capital and people talent to accomplish our objectives. And now, we’d be glad to take any of your questions.
Operator: [Operator Instructions]. And our first question comes from Daniel Moore with CJS Securities. Your line is now open.
Daniel Moore: Good afternoon, Joe. Good afternoon, Dan.
Joseph Stegmayer: Hi, Dan.
Daniel Moore: In the – you mentioned in the prepared remarks and called out in the press release, labor, obviously, it’s an ongoing headwind. Is it getting worse, or just sort of a – an ongoing headwind that you wanted to call out? And given these constraints, how fast you can grow units annually over the next few years, if demand continues to rise?
Joseph Stegmayer: Well, I don’t think the environment has changed all that much just quarter-to-quarter. But it still remains an issue. Labor availability, availability of qualified labor that is people who will pass our requirements for employment. And this is not an issue that we see just in our business or even in our industry, although we hear from our peers and competitors. We hear it from our vendors, we hear it from certainly the onsite builders all point out to this problem, and we hear it from other industries, from people we come across. So it’s – I think it’s a systemic issue and challenge for the entire country. And we are facing it, as everyone else is. Now we’re trying to do all sorts of things to address that. We have full-time recruiter that we have brought aboard and her work is all and exclusively runs around recruiting talent in all areas of our company. We’re using all the social media, we have different newly device training programs, onboarding programs for people. We’ve looked at wages and continue to wage surveys in various areas, incentive programs. Even in the work environment, we look at our facilities and will – we have been and will continue to invest in our facilities to provide an attractive working environment. And so we try to do all these things with that goal in mind of attracting, and then more importantly, retaining good people. But, Dan, I couldn’t tell you how much that will help us or restrain us from growing production to the extent we like, it’s just an issue. We have to face and we are addressing and we think we can make good progress. But the full utilization of our facilities certainly depends on our ability to hire substantial enough workforce to accomplish full utilization and we’re not quite there yet.
Daniel Moore: Very helpful. Maybe switching gears, any update on the GSE’s duty to serve and how or when they intend to inject additional liquidity into the MH industry, anything you’re hearing there?
Joseph Stegmayer: Yes. So I’m glad you asked the GSEs Fannie Mae and Freddie Mac, both have been involved in our industry trade association, making presentations to the industry in general. They both have programs to increase their participation with manufactured home lending. Now specifically, Freddie Mac plans to increase its purchase of manufactured home Tyler’s real property that is traditional mortgages, if you will. In 2018 and 2019 and 2020, they’ve set specific objectives for increasing the number of loans they will finance. It’s a not huge numbers in and of themselves, but it indicates a trend that they’re moving in the right direction. Fannie Mae also makes an additional statement that they will add an additional 4,000 to 5,000 manufactured home loans secured by real estate over three years, which equals an estimated contribution of $500 million to about $660 million in loans. Then on the chattel side, the personal property lending, where the home is the only collateral for the loans. Again, both GSEs indicate that they intend to start preliminary chattel loan programs, but not until next year. And we actually await that. We think it will be a good move for the industry. There’s certainly a lack of availability of chattel financing and their involvement will help. But they’re still going through data and they move a little bit slower than we’d like, but it looks like they’re at least making some progress.
Daniel Moore: Very helpful. And one more, if I might. The Housing and Urban Developments recently published a memo regarding reducing regulation and controlling regulatory costs. Any color you can add to that and how big a catalyst you think that could be?
Joseph Stegmayer: Yes. Again, good question for those of you on the call who are not familiar with that news. I did make a public announcement on January 25 that they were going to do a wholesale review of manufactured housing rules. We’ve mentioned in the past to many of you that, we welcome HUD’s regulation of the industry, kind of level the playing field all our homes in our industry, manufactured homes are built to a federal preemptive code. So all prime materials are used, homes are thoroughly inspected. In fact, arguably, much more inspected of an onsite construction is. So HUD regulation is not a negative thing. The problem has been that HUD has not made any adjustments or improvements to the regulation and reinforcement of interpretation of the rules in many years. And I think what Secretary Carson is now doing is very welcome. In that, they will thoroughly review the rules, look for what’s outdated, what’s happening the growth of manufactured housing in the country, look what needs to be added. And I think they’ve recognized and they, in fact, they stated publicly that manufacturing housing played a vital role in meeting the country’s affordable housing needs. Right now, it provides about 10% of total single-family housing stock, but there’s no reason that percent couldn’t be higher with some flexibility and cooperation between HUD and the manufacturers. So we welcome this. I think, it’s a great indication of our listening to the needs of the industry, and also of course, continuing the protection of the consumer and building quality homes. So we feel very positive about this. It’s the most positive move and news that we’ve heard from HUD, our regulator in many, many years. And we look forward to a more cooperative relationship with that agency.
Daniel Moore: Great color. Thank you, Joe. I’ll jump back in queue.
Joseph Stegmayer: Thank you, Dan.
Operator: Thank you. And our next question comes from Alvaro Lacayo from Gabelli.
Alvaro Lacayo: Good afternoon, guys.
Joseph Stegmayer: Good afternoon.
Alvaro Lacayo: So I just have a couple questions. Starting just, when you look at sort of the nine months performance and you look at selling prices and you look at the unit shipment growth, I know in the past you said that the unit prices can vary based on mix, but we’ve got three straight quarters of fairly strong pricing accompanied with three quarters of what looks to be a little bit lower growth in shipment versus industry. Maybe if you can just sort of highlight the puts and takes there? And how do you see – is there change in sort of the consumer preference in terms of what they’re buying that’s driving this price and how do you see it sort of evolving over the next six months to a year?
Daniel Urness: Sure. Yes, happy to address that. This is Dan. The average sales price you’re seeing there are calculating, of course, as a reminder, is based on our mix of wholesale homes, which is predominantly what we sell, and then retail homes that sell through our company-owned retail stores, which carry a – naturally a higher sales price. So that can add variability and that’s the primary component of variability that we always refer to and have to remind you of. But nonetheless, the larger and higher priced homes can provide often a better gross margin for us. And so we can lean in times like this towards more profitable gross profit homes. And so we’ll do that. We have done that. We’ll continue to do that obviously, paying attention to all the demands and needs in the marketplace to serve our customers as well. But those take a little bit longer to produce and we have to monitor the balance, if you will. So we’ll remain focused on bottom line improvement as opposed to top line unit shipment growth. And I’d also add one important reminder that when we ship a double-section home that counts as one unit, and when we ship a single-section home that counts as one unit. So as we have certain quarters that may have higher counts of double-section homes, then the unit growth will be lower than others that have single-section counts, if you will, or higher mix is that way.
Alvaro Lacayo: Thank you. And then on the SG&A, it seems like the strongest SG&A performance you guys have had in several years, and you highlighted the fixed cost efficiencies and the effective cost controls. Maybe if you could provide more detail around what exactly you guys are doing to drive that number – to drive the improvement in that number? And should – the step down improvement we saw, I mean, is this something we should expect in further quarters?
Joseph Stegmayer: Well, as to the first part of your question, I’m not sure that we’ll get into a lot of detail there, some of that’s proprietary. We always pride ourselves on maintaining efficient cost controls and keeping our SG&A among the lowest in the industry ever, in fact, when there was more industries compared to publicly. With respect to – going forward, I’ll let Dan address that.
Daniel Urness: Sure. And yes, Alvaro, as we just naturally see the leverage in the SG&A component as revenues go higher, we’d expect to see a continued improvement in the percentage of sales. I think, there’s still a little bit more room there to grow or to reduce the percentage even though the dollars for SG&A would continue to increase. But yes, there’s more room there and we probably wouldn’t get as low as our all-time lows, which are in the single digits. But we think that we can get lower. We now – the reason we wouldn’t get down into those single digits, again, we don’t think is, because we have higher SG&A businesses included in our consolidated statements now, mainly our finance company, our insurance company, and also our retail division. So that being said together, we think there’s still more leverage in the statement that way.
Alvaro Lacayo: Thank you very much.
Operator: [Operator Instructions] Our next question comes from Brian Hollenden with Sidoti. Your line is open.
Brian Hollenden: Yes. Hey, guys, thanks for taking my questions.
Joseph Stegmayer: You bet.
Brian Hollenden: This $3.4 million favorable dispute settlement, is that related to insurance recoveries? Can you provide some more color on that cash receipt?
Daniel Urness: Well, we didn’t provide color specifically really, just because it’s a one-time event. It’s a settlement, it’s an issue we’ve been dealing with for a while and got resolution – favorable resolution. And so we just wanted to make sure, we called it out for what it was, but we don’t have any specific color to add on that, no.
Joseph Stegmayer: The only thing I would add to Dan’s comment is that, it’s something – it reflects expense we’ve incurred in previous quarters that we didn’t feel were our responsibility. And obviously, the result was that, we received favorable response to our belief it wasn’t our responsibility, and so we got that settlement. So that’s something, as Dan said, we’ve been working on for sometime, but it’s an unusual and one-time event.
Brian Hollenden: Thanks. And then are you planning on moving pricing in excess of cost inflation in fiscal 2019? And if so, by – about how much?
Daniel Urness: Well, we do think that we have room and we’ve worked towards increasing our prices based on demand levels to get the benefit in our gross margin. And we don’t have a percentage, we can give you over cost that we are shooting towards to do that. But we want to also be sensitive obviously, to the long-term nature of the business being able to serve all the demands in the marketplace and the price points that we do produce. So the short answer is, yes, we’ll continue to look at market factors in addition to just cost when we set price points for our products to be able to benefit as much as we possibly can there without losing business or the turning away business that is good business for us in long-term in good times and in tougher times.
Brian Hollenden: What is your backlog look like? Did it increase sequentially from the second quarter, and where does capacity utilization stand?
Daniel Urness: Our backlogs now are a little over $200 million, and that is roughly equivalent with our most recent reported numbers a quarter ago. And the capacity utilization is running around 80% of our brick-and-mortar utilization, if you will. Just a note on that, what that means is, we have the capacity to build more homes in all of our – in our factories speaking generally. Our limitation is what Joe talked about in labor and the ability to ramp up as quickly as we’d like to meet the current market demand. Hence, the reason we have a higher backlog than we typically would if we were producing more homes. So the two are kind of related to each other directly, but the 80% number is a brick-and-mortar numbers. I just want to make sure you know that. But we’re really kind of constrained with labor right now and we need to build more homes by more people we hire.
Brian Hollenden: Thanks. And then last one for me, does the combination of Champion and Skyline affect your business much? Is there any color there you can provide that would be helpful?
Joseph Stegmayer: Yes, I don’t think it will. No. We know both companies. They’re good competitors, and wouldn’t really expect any significant changes there.
Brian Hollenden: Thank you.
Operator: Thank you. And we do have a follow-up question from Daniel Moore of CJS Securities. Your line is open.
Daniel Moore: Thank you. Maybe just any update you may have on capital allocation specifically. I mean, I know you are sort of putting your toe in the water, increasing your lending, just any update you may have as far as how that’s going? How you’re thinking about sizing that going forward, et cetera?
Daniel Urness: Well, capital allocation-wise, lending. We’ll continue to invest in our mortgage operation, but that will be a fairly modest in the whole scheme of things. We’ll also be investing in our facilities. As I mentioned in my comments, we’ll be adding two facilities, in some cases, some expansions. We’ll also be looking at ways to automate, if you will, and that might be too strong a word, because there’s not – I don’t want to imply, there’s not a robotics kind of activities in our industry. But certainly, we can look at ways to reduce the lifting and effort of building homes and try to make it more ergonomically-friendly. So we’re looking conveyance methods the way we move materials around and that will require some investment. So I think, our capital spending will be up somewhat. It will still be modest, I think, in relation to our cash flow. But it will be up somewhat from prior years, as we continue to look at ways to improve our facilities and maximize throughput.
Daniel Moore: Got it. Thank you and appreciate the color. Congrats on a great quarter.
Joseph Stegmayer: Thank you.
Operator: Thank you. And I’m not showing any further questions at this time. I would now like to turn the call back over to Joe Stegmayer for any further remarks.
Joseph Stegmayer: Well, thank you and appreciate being on the call and the questions, and we’ll be happy to provide any follow-up information, and we look forward to a good quarter and speaking to you again in three months. Thank you.
Operator: Ladies and gentlemen, thank you for participating in today’s conference. This does conclude today’s program, and you may all disconnect. Everyone, have a wonderful day.